Operator: Good morning and welcome to Orion Group Holdings Fourth Quarter and Full-Year 2023 Earnings Conference Call and Webcast. All participants will be in a listen only mode. [Operator Instructions] On today’s call, management will provide prepared remarks and then we will open the call for your questions. [Operator Instructions] Please also note today’s event is being recorded. At this time, I would like to turn the floor over to Margaret Boyce, Investor Relations for Orion. Please go ahead ma’am.
Margaret Boyce: Thank you operator and thank you all for joining us today to discuss Orion Group Holdings’ fourth quarter and full-year 2023 financial results. We issued our earnings release after market last night. It is available in the Investor Relations section of our website at oriongroupholdingsinc.com. I’m here today with Travis Boone, Chief Executive Officer; and Scott Thanisch, Chief Financial Officer. On today’s call, management will provide prepared remarks, and then we will open up the call for your questions. Before we begin, I would like to remind you that today’s comments will include forward-looking statements under the federal securities laws. Forward-looking statements are identified by words such as will, be, intend, believe, expect, anticipate or other comparable words and phrases. Statements that are not historical facts are forward-looking statements. Our actual financial condition and results of operations may vary materially from those contemplated by such forward-looking statements. Discussion of the factors that could cause our results to differ materially from these forward-looking statements are contained in our SEC filings, including our reports on Form 10-Q and 10-K. With that, I would now like to turn the call over to Travis. Travis, please go ahead.
Travis Boone: Thank you, Margaret, and welcome everyone to our fourth quarter and year-end 2023 call. Good morning. I will start by saying that I’m pleased with our progress on transforming the business throughout 2023. We did what we said we would do and the business is much healthier. To summarize our fourth quarter and full year results, we made the profitability of our business a priority over revenue. Our Q4 revenues grew 3% to $202 million and year-end revenues declined slightly to $712 million versus $748 million in 2022. On the surface, that is not impressive. But as I communicated to you throughout the year, driving the top line for the sake of revenue growth was not our objective. In construction, if you don’t have discipline, you can win bids to grow revenue without making money until you put yourself out of business. That was the situation when Scott and I joined Orion in late 2022. And our top priority was to transform the business into a company that can deliver profitable and sustainable growth. We now have strong backlog to support revenue growth in 2024 and be profitable at the same time. A year-ago, we laid out a three point strategic plan to work toward long-term sustainable growth, which included improving the profitability of the concrete business, strengthening business development to drive growth, and investment and resources to realize Orion’s full potential. We worked that plan throughout 2023 and accomplished our goals for the year. Concrete is now profitable, but we will continue to drive higher margins in that business. We have invested in strategic growth and have vastly improved our business development team and processes which is driving growth. Lastly, we significantly improved our balance sheet and liquidity. We made significant progress optimizing our business and we strategically invested in our fleet to better prepare for the future. We still have work to do, but today our business is much healthier as measured by a significant improvement in profitability metrics. Gross profit margin increased 620 basis points to 11.4% versus 5.2% fourth quarter last year. Adjusted EBITDA for the quarter was $14.8 million or a 7.3 adjusted EBITDA margin, a significant improvement over $3.2 million or 1.6% percent adjusted EBITDA margin in Q4 2022. As we communicated from the beginning, reversing the margin decline in our concrete business was a top priority and in March it turned the corner. On an adjusted EBITDA margin basis, concrete delivered 5.3% versus a negative 1.8% year-over-year. Don’t get me wrong, growing the top line is important. In 2023, we made significant progress in strengthening our business development efforts, which I will cover more later. What is important is winning the right projects for Orion, high value long-term projects like Pearl Harbor and the Grand Bahamas dry dock. Awards like these demonstrate our ability to win large complex projects that are reputation builders in our markets. And while we are pursuing large projects, we are also applying a disciplined approach to projects of all sizes. The go forward story is how Orion is now set up to unlock its full potential. First, winning projects with the right pricing is critical to driving profitability. That required us to implement guardrails such as minimum bid margins and pursuing work where we have strong value proposition that differentiates Orion from competition, as well as bolstering our management oversight with experienced leaders. However, you can’t just establish and enforce new rules. The organization must understand and embrace them and that required us to reset Orion’s culture. While having a strong and engaging culture is always an ongoing process, in 2023, we accomplished a great deal to strengthen our organization and its identity in the marketplace. We put disciplines, processes and procedures in place, so expectations are crystal clear. And everyone is focused on the same mission, delivering predictable excellence through outstanding execution. To achieve this, we tore down the silos that had existed for far too many years throughout the business. With the classic case of what happens when acquisitions are not fully integrated, there are duplicate platforms, business unit autonomy, friction over resources, overlooked talent and other challenges. And since these disciplines are all interrelated, we were missing many opportunities to collaborate and cross-sell. Fast forward one year later; Orion is now one company pulling in the same direction. We rebranded all of our operations under the Orion banner, including the rebranding of TAS Concrete Construction as Orion. We are also rebuilding an IT infrastructure that will give us a better line of sight across the entire business, as well as the capability of scale. Scott will give more detail in his remarks. Above all, I’m especially thrilled with the caliber of leaders that we attracted to Orion this year. Alan Eckman, formerly with AECOM, joined us as a Senior Vice President of Strategy and Growth. This was a new role that we critically needed to drive strategy, business development, sales training and future M&A. We also hired Chip Earle as our new in-house counsel. Chip has an impressive legal, compliance and risk management background. Louisiana is an important market for Orion and we now have a new office in New Orleans to expand our presence in the state where we began working in 1906. Since Scott and I came on board, our culture and our senior leadership is strikingly different than a year-ago. We are fostering a winning mindset, celebrating our achievements, and pushing ourselves to higher performance. By unifying under the Orion brand, we will develop a more recognizable presence in the national market, unlock new potential for growth, leverage collaboration across teams, and support our mission to deliver high quality solutions with predictable excellence. To reflect our one Orion brand, we are launching our new website on March 4th and would be happy for you to go check it out when it goes live next week. With these critical building blocks in place, we are turning our full attention to building momentum in the business. In 2024, we expect our performance to improve with a gradual build throughout the year. However, we believe 2025 will be the year when our transformation starts to really kick in for several key reasons. In a little over a year, we almost quadrupled our pipeline of opportunity from $3 billion to over $11 billion. This reflects not only the measures we have taken to transform Orion, but also an improving market outlook. We are expecting to see increased RFP activity from our marine clients this year in the public and private sector. The Corps is undertaking a number of capital construction projects that we are preparing to bid on including the pent up demand for maintenance dredging of waterways which would benefit Orion. Based on our Pearl Harbor work, Marine is also well positioned to participate from naval defense spending in the Pacific. Add to that $10 billion that is earmarked for coaster restoration in Louisiana in the coming years, as well as the port expansion capital projects necessary to accommodate larger ships and more warehousing capacity. Orion Concrete might also benefit from public funding for infrastructure projects. This would be a new opportunity for Orion since our work in Dallas and Houston core markets is mostly in the private sector. With any interest rate relief, we believe several private sector construction projects would be green lighted to support the outsized growth in these two markets. We also see an opportunity to expand our concrete business presence in Florida. Bottom line, there are strong tailwinds and a ton of opportunity in our space that requires the special skills and experience that limits competition. We have the best people in the industry who are laser focused on execution, growing revenues and driving margins. I’m very optimistic that Orion is set up for success in 2024, 2025 and beyond. Now, I will turn this call over to Scott to discuss our operations and financials.
Scott Thanisch: Thanks, Travis, and good morning, everyone. During 2023, we were hard at work implementing changes to position Orion for future success. As Travis outlined, we invested in critical areas of the business to prepare for the growth opportunities in front of us. A big focus this year was investing in technology replacing the outdated infrastructure that we inherited. We redesigned and rebuilt our IT infrastructure moving from housing our servers in our offices to hosting our IT systems in state-of-the-art data centers in Austin and Las Vegas. With this move, our systems are now more secure and reliable with greater flexibility and adaptability. We completed the implementation of a CRM system to improve our business development capabilities. We have also implemented the first phase of a project management system and a P2P tool that will improve our overall project and expense capabilities. In 2024, we will continue to enhance our IT systems, migrating the concrete business over to the same financial platform as the Marine segment, which will deliver efficiencies and greatly improve the line of sight across our entire business. With these changes, we can deliver our projects with improved financial performance. As mentioned previously, we need to consistently invest in modernizing and refurbishing our fleet to better service our customers and prepare for growth. In 2023, our maintenance capital expenditures were lower than historical averages. This year, we expect maintenance CapEx to return to historical levels. Additionally, we will be investing in growth capital to be ready to execute more work for our customers. To expand our fleet in a cost effective way, we recently purchased a dredge under construction and will be investing over the next two-years to build it out. We expect it to be fully operational in 2025. We were successful in strengthening the balance sheet and monetizing our noncore real estate assets in 2023. Securing our ABL credit facility was key to strengthening our financial flexibility. We closed over $25 million in equipment and real estate sale leaseback transactions last year. And lastly, we announced that we entered into a $34 million land sale contract for our East West Jones property with an expected closing date in June. With the completion of this transaction, we will have unlocked almost $60 million of value from our balance sheet to reduce debt and invest in growing our business in 2024. To wrap up on the balance sheet, as of December 31st, we had $30.9 million cash and total debt outstanding of $37.2 million. At the end of the quarter, we had no outstanding borrowings under our revolving credit facility. Moving on to our financial results, fourth quarter revenue increased 2.8% to $201.6 million primarily due to an increase in marine revenue related to the Pearl Harbor dry dock project, partially offset by lower concrete revenue following our decision to exit the unprofitable Central Texas Concrete Business. Fourth quarter gross profit increased to $23 million or 11.4% of revenue compared to $10.2 million or 5.2% last year. This 620 basis point increase was primarily driven by margin improvements in both sections reflecting higher quality projects and improved execution, partially offset by a lower margin and mix of dredging revenue. SG&A expenses for the fourth quarter were $17.2 million or 8.5% of revenue, up from $13.7 million or 7% of revenue in the fourth quarter of last year. SG&A expenses grew due to increased IT and business development spending and higher legal costs related to some lingering project claims. Adjusted net income for the quarter was $2.6 million or an adjusted net income of $0.08 per diluted share, compared to an adjusted net loss of $3.7 million or an adjusted loss of $0.12 per diluted share in the prior year period. This result excludes $7 million or $0.21 of diluted earnings per share of nonrecurring items. Our GAAP net loss for the fourth quarter of 2023 was $4.4 million or $0.13 loss per diluted share. EBITDA for the fourth quarter was $6.5 million and adjusted EBITDA was $14.8 million. Adjusted EBITDA margin was 7.3% up from 1.6% in the prior year period. Turning to bidding metrics, in the fourth quarter we bid on approximately $1.1 billion worth of opportunities winning $86.3 million. This resulted in a contract value weighted win rate of 7.6% and a book to bill ratio of 0.43 times for the quarter. As of December 31st, our backlog was $762.2 million compared with $448.8 million at December 31st last year. Breaking out our fourth quarter backlog, $602.5 million was in our Marine segment with $159.7 million in our concrete segment. In addition, we have been awarded over $120 million of new marine segment project work that was not included in our backlog at the end of the fourth quarter. As Travis mentioned, we are delivering on our promise to improve profitability by implementing discipline in our bidding process and winning quality work at attractive pricing. During the fourth quarter, our adjusted EBITDA margins moved closer to our target of low double-digit adjusted EBITDA margins for marine and high single digit adjusted EBITDA margins for the concrete segment. Adjusted EBITDA margin in our Marine segment increased to 8.4% up from 5.1% last year. And our concrete segment adjusted EBITDA margin improved to 5.3% up from negative 1.8% adjusted EBITDA margin last year. Looking ahead to 2024 and beyond, we are excited about our outlook. Our business development efforts are producing an expanding pipeline of attractive projects. We anticipate growing the top line substantially over 2023 and we expect revenue to ramp up throughout the year. Of course, as with any project based business, there may be lumpiness quarter-to-quarter based on project milestones. In Hawaii, our Pearl Harbor project is not ramping as fast as we anticipated in the first quarter due to shipping delays of equipment and supplies related to drought in the Panama Canal as well as unforeseen delays on the project out of control. We expect revenue from Hawaii to ramp throughout 2024 and build through the year being stronger in the second half. We are increasing our CapEx spend over 2023 to upgrade our fleet, so that we are prepared for the industry tailwinds that are expected to accelerate through 2025 and beyond. As we grow the top line, we plan to continuously improve margins by managing our business more efficiently and productively. We are confident in our ability to continue to improve returns on capital and deliver increasing value to our shareholders. And with that, we will open up the call for questions.
Operator: [Operator Instructions] Our first question today comes from Joe Gomes from Noble Capital.
Joe Gomes: Scott, you just touched a little bit on Hawaii, but I was wondering if you could give us a little bit more color on both the Hawaii and the Grand Bahama projects?
Travis Boone: Sure. Is there anything specific you want me to cover Joe or?
Joe Gomes: Just kind of looking for where we are. Again you talked a little bit right there at the end on Pearl Harbor about not ramping as fast but any additional color on that, any color you have on Grand Bahama would be great?
Travis Boone: Sure. Both projects are going well and we still feel very confident about the projects and margins and the ability to deliver on those projects. There was as Scott mentioned there was a few hiccups with the Panama Canal that were sorting through if you will. It has been challenging, you have probably seen in the news. There is getting materials and goods through the Panama Canal has been challenging. So we have had a little bit of little hiccups there but we are working through that. And generally speaking the project as I said is going well and just a little bit slower start of revenue than we had anticipated or planned but it is everything is well and on track. As far as Bahama similar story, projects going very well, everything is on schedule. The portion of the work got delayed, one of our subs got slightly delayed and that slowed the revenue but the project is on schedule and on track. So everything is well there too.
Joe Gomes: And then on the concrete segment, just looking on the operating income, the loss was higher in the fourth quarter of 2023, $4.8 million versus the $3.7 million in 2022. Was that something you were expecting? Did the segment take a little bit of a step back during the quarter? Any more clarity there would be great. Thanks.
Travis Boone: Yes. So, we had the rebranding of the concrete business under the Orion brand, which as a result of looking at that intangible on the balance sheet didn’t really have a reason to support the value that was on the balance sheet. So, we had $7 million intangible loss from writing that brand down in the quarter. If it were not for that, concrete oping performance would have been much better.
Operator: Our next question comes from Julio Romero from Sidoti and Company.
Julio Romero: Travis, you mentioned you expect performance to improve with a gradual build throughout the year. And Scott, you mentioned you expect revenue to grow substantially in 2024, and I assume you were talking for Orion overall, maybe in one rather than one specific segment. But can you guys just kind of walk us through the cadence expected for sales and profits across both segments in 2024?
Travis Boone: Yes, I will just kind of expand on it a bit. We kind of see a typical seasonal drop at the beginning of the year. We expect that to be true this year as well. But as we move through the year and Hawaii and Bahamas contribute more and more revenue as we go through the year. We expect to continually post improving results over the prior year. When I think about revenue and what it looks like in relation to 2023, we have got pretty sizable backlog going into the year, a good portion of that is expected to burn in the next 12-months. We have a lot of opportunities in the pipeline that are potentially realizable within the year as well. So we see a lot of good movement in the direction of expanding revenue. So, always are going to be ups and downs in a contracting business where we work outside and have projects that start and stop at different times during the year, but the general trend we see up and right.
Julio Romero: And then, looks like as you guys said last quarter, the fourth quarter in sales were going to be up significantly due to the project timing pushing some sales into the fourth quarter and you clearly weren’t hitting there with the strong performance on the margin sales there. Is the fourth quarter still expected to be stronger than fourth or did some project timing maybe pull forward some 1Q sales if you could speak to that? Thank you.
Travis Boone: Yes. We don’t expect the first quarter to be stronger than the fourth quarter. We do expect the first quarter to improve over the first quarter of last year. So there is ups and downs through the year but first quarter is typically a seasonable dip for us.
Operator: Our next question comes from Dave Storms from Stonegate Capital.
Dave Storms: Hoping you could just start by giving us a little insight as to what the margin profile looks like on your backlog. Are we just about through a lot of those old legacy contracts or is there still more work that needs to be done there?
Scott Thanisch: We are most of the way through those. There is a few lingering ones that we will be finishing up this year, but there is generally speaking we are through the vast majority of them.
Dave Storms: And then just on the liquidity front, great to see that you got East West Jones contracted. Once that is finalized, are there any other levers that you are looking to pull in order to generate more liquidity? Or do you feel like you are in a good spot once that is finalized?
Travis Boone: Probably not at that scale. There is that one we are glad to have that thing under contract again and looking forward to getting that close this year. But as far as any other big needle mover asset sales etcetera, we are not anticipating things large. We have got some equipment will settle and some things like that but not big needle movers.
Scott Thanisch: Yes, I think where we have some improvement opportunities on cash flow is in working capital as we have projects close out and retainage to go collect. I think there will be a cycle of that coming up. Also, you may have seen in our press release, we amended our credit agreement to lower our interest rate on our revolver in our term loan. So that will also help our cash flow coming into next year or this year.
Operator: Our next question comes from DeForest Hinman from Walthausen & Company.
DeForest Hinman: Hey, I’m with Bumbershoot Holdings now. That is not correct. But, yes, thanks for taking the questions. A big component of the better returns for the equity holders is related to the interest expense. You got pretty high interest carry on the debt. I mean, obviously, some of that is going down with East West Jones being sold and then, you had a little bit of relief that you discussed in the press release. But how should we be thinking about the state of the balance sheet as it relates to working capital and you have some of these larger projects and how the billings and the milestone payments work out as we go through the year? I mean, is it your expectation that there will be a fair amount of leverage on the balance sheet as 2024 progresses or is it are we going to be running in a net cash position? Can you just help us understand how that looks because it is going to have a pretty big impact on your cash flows and your earnings power? That is my first question.
Travis Boone: Yes, appreciate. And that is something obviously that as when we came in last year we needed to refinance our debt and it wasn’t the best time to hit the market. We were able to successfully do that. I think the reduction in the interest rate that we just signed with White Oak is a reflection of both an improvement in the interest rate environment as well as our performance and how we are performing relative to the prior 12-months. They see us as an improving credit and I think that they see as we do that we have options to improve the interest rate on our debt going forward. With our East West John sale, we will look to reduce our debt with proceeds from that. We have the opportunity to with some of our cash flow initiatives in particular some claims that we are pursuing that we expect to be able to monetize during the year and that would be another opportunity to reduce our debt. Going forward, we see a role for debt on our balance sheet. We have got a lot of opportunities in our space. We think that we can take advantage of more of those opportunities with additional capital and we are figuring the best way for us to approach that to take advantage of those opportunities in the most efficient way for our shareholders. So, still thinking about those things, but certainly looking to reduce interest expense through improved cash flow, lower rates and reduced debt balances.
DeForest Hinman: Just a follow-up on that commentary is that just on the debt side or would the Board and you consider issuing equity to go after some of those opportunities? I have a follow-up.
Travis Boone: Yes, I would say that we are not early enough in our thinking on those elements as to where we would go with the balance sheet, but I do think that we have got plenty of room, plenty of cash flow, plenty of opportunities. So, we see the way to use capital, the best way to get it will have discussions and figure out over the course of the next 12-months.
DeForest Hinman: And then on the CapEx commentary obviously you are basically a whole new executive team versus the prior few years. You referenced maintenance CapEx going to more of a historic level. How do you define that? Can you give us that number? And then second part of that question is you mentioned acquiring a vessel barge to do some additional spending there. I mean you do have some pretty old barges, so this is a somewhat of a newer thing. Can you help us understand the outlay for the initial build slot and then what is the total CapEx and what is the cadence over the next couple of years there, so multipart question on CapEx? Thank you.
Scott Thanisch: Sure, so on the maintenance CapEx just generally speaking it is $15 million or so is the when referencing historic levels that is a ballpark number around $15 million for maintenance CapEx. And then the additional CapEx there for building out the dredge that we purchased, that will be over a period of time next year or two to get that built out. As you did point out we have got some older dredges in our fleet although we did rebuild one and get it operational last year. So while it might be somewhat old it is a pretty new piece of equipment based on the rebuild. That is kind of what we are doing with this other one we purchased. So we are working on getting our fleet up to standards for emissions and technology and the best equipment.
Travis Boone: Yes, and I think over the two-years we will be able to build out this dredge at a much cheaper rate than it would cost us to start from scratch. So, I think in the course of the 24 months it is probably $25 million to $30 million investment.
DeForest Hinman: Okay. Just for clarity, did you buy an older vessel within the just kind of intent of just doing a fairly sizable overhaul on it or something?
Scott Thanisch: It was a dredge hole that was in the process of being rebuilt by another company that we purchased that auction for a very inexpensive cost.
DeForest Hinman: And I will just squeeze in the last follow-up. On the East West Jones transaction, I don’t know if I didn’t read through all the disclosures, but I will just try to squeeze it in here. But did we negotiate environmental release on that property sale or do we have hypothetical environmental liability with that property going forward?
Scott Thanisch: Yes, it is as is where is sale.
Operator: Our next question is a follow-up from Julio Romero from Sidoti and Company.
Julio Romero: Maybe can we just speak to dredging for a little bit? Is the level of competition you saw for Dredging in the third quarter still kind of ongoing? And can you maybe speak to whether those smaller competitors that were bidding for dredging in the third quarter are a little bit closer to filling up their capacity?
Scott Thanisch: I would say it is a similar story Julio. Pretty as the latter half of last year going into 2024 here. Some of them are busy, there hasn’t been a ton of bid activity so far this year but it is a pretty similar to what we talked about in the latter half of last year. We are optimistic that the third and fourth quarter will pick up on the dredging side of things. We have been pretty fortunate we picked up some good dredging work that has been keeping us going but it is not at the kind of historic levels that it used to be. So we are not dead in the water but we are not as busy as we would like to be so.
Julio Romero: And can you maybe just speak to SG&A a little bit as well and break out how much of the fourth quarter SG&A expense was related to higher legal claims? And maybe help us think about for SG&A spend in 2024 excluding legal?
Travis Boone: No, I would not probably going to break out the details of SG&A, but just to give you, I think that where we are fourth quarter is going to be a fairly typical number for us going forward in absolute dollars. I think with our systems investments continuing the legal expenses that have been growing the investments that we have made in business development. Most of those have kind of hit a sort of steady state. So I think you continue at that level for the next 12-months.
Operator: [Operator Instructions] And we do have a follow-up from DeForest Hinman from Walthausen and Company.
DeForest Hinman: Hey, it is Bumbershoot Holdings. But can you give us some more color on some of these ongoing claims you referenced timing wise, size, I think there were some legacy stuff out there, you guys some work on some, I think it was a runway in Alaska, I don’t know if that ever got resolved or was something with the drainage canal in Georgia. Are those things still out there we are trying to get paid on or these different things and any color there and any color on timing and potential size of those recoveries? Thanks.
Travis Boone: Yes, we have got a couple of legal matters that are going to trial this year in the middle part of the year that we are optimistic about. There is no downside for us on either one of those. Probably we are not going to get into details about which matters they are. But we do have, we have a couple of them that again we are optimistic that there will be some upside potential on those two matters around the middle part of the year.
DeForest Hinman: And as another follow-up, you talked about some of these IT projects, previous management team is working on a lot of stuff on the IT side, I think ERP. When are those projects complete in your mind and what do you think the costs are associated with those?
Scott Thanisch: Yes, in terms of when we expect those to complete, we have got kind of three major projects that are going on the IT front including the P2P system, the project management system and the GL conversion for the concrete business. The first two of those are on earlier timeline. We expect those to be operational by midyear fully and then the GL conversion that is later in the year. So that is in the second half work. We anticipate that we will complete all three of those projects in the course of the year. And in terms of the spending to do that it is basically at the level that you see in our last several quarters it should be continuing at that level across three to four quarters.
Operator: And ladies and gentlemen, at this time, we will conclude our question-and-answer session. I would like to turn that floor back over to Travis Boone for any closing remarks.
Travis Boone: Thank you. First I want to say thank you to our shareholders for your continued support of our business. We are continuing to improve our business and also want to thank our employees for their hard work that have gotten us where we are. 2023 was a challenging year for us. We had a lot of hard work, lot of initiatives, a lot of things going on in the business and everybody leaned in and worked hard throughout the year. So definitely appreciate our employees and all their hard work every day. That we will close out and thank you all for participating today.
Operator: Ladies and gentlemen, with that, we will conclude today’s conference call and presentation. We thank you for attending. You may now disconnect your lines.